Operator: Good morning, ladies and gentlemen, and welcome to the Mogo Third Quarter Earnings Conference Call. [Operator Instructions] This call is being recorded on Friday, November 7, 2025. I would now like to turn the conference over to Craig Armitage. Please go ahead.
Craig Armitage: Thank you, and good morning, everyone. Just a few quick notes before we get started. Today's call will contain forward-looking statements that are based on current assumptions and subject to risks and uncertainties. These could cause actual results to differ materially from those projected. The company undertakes no obligation to update these statements, except as required by law. Information about the risks and uncertainties are included in Mogo's Q3 filings as well as periodic filings with regulators in Canada and the United States, which you can find on SEDAR+, EDGAR and you can also access via the Mogo Investor Relations website. Lastly, today's session will include several adjusted financial measures or non-IFRS measures. Please consider these as a supplement to and not a substitute for the IFRS measures. You'll see that we've included reconciliations to those in the press release and in the investor deck that accompanies the webcast. One last note, we understand there was some difficulty accessing the webcast on the Mogo IR page today. I believe that has been updated. So just refresh your screen if you're trying to access that and you hear this and certainly, the replay will be available there. With that, I'll turn the call over to Dave Feller. Go ahead, Dave.
David Feller: Thanks, Craig, and thanks, everyone, for joining today. Q3 was another quarter of disciplined execution and good performance across all the areas of the business. We continue to strengthen our financial foundation while advancing the most important strategic initiative in our history, the launch of our new intelligent investing platform. Key highlights include on wealth, AUM reached a record $498 million, up 22% year-over-year, and wealth revenue grew 27%. On the payments business, revenue grew 11% year-over-year, driven by continued strength in Europe. And our Bitcoin holdings rose more than 300% quarter-over-quarter. Profitability, adjusted EBITDA was $2 million, 11.6% margin. And on the back of strong platform performance, we raised our 2025 EBITDA guidance. On the balance sheet, total cash investments ended the quarter at $46 million, providing flexibility to fund growth. It was a steady high-quality quarter across the 3 strategic pillars, wealth, payments and Bitcoin, each compounding value and read together. Over the past few years, we've been building both sides of our wealth business, Mogo focused on automated investing in MogoTrade, our self-directed trading platform. Each gave us a valuable insight into how investors behave, how they save, how they trade and how their decision impact long-term outcomes. And those insights made one thing clear, the future wasn't 2 separate experiences, it was one unified platform. And that's what we've built with Intelligent investing, a completely reimagined wealth platform that brings together our managed and self-directed investing under a single brand, a single architecture and a single philosophy. This isn't an update or a redesign. It's a full new build from first principles, a new behavioral operating system for wealth designed to help investors perform better. Two legacy apps, Mogo and MogoTrade will now sunset as we transition fully into intelligent investing. It's a major evolution for our company, one platform, one brand and one mission to build the behavioral and technological infrastructure for disciplined generational wealth. The problem we're solving is structural. Most of the financial system is built around activity because that's what drives revenue for firms. Every trade, every fund switch, every notification is a profit event for the platform, but it usually hurts the investor. After analyzing 3 years of real trading data across our own platforms, we sought firsthand. Most self-directed investors don't lose because of high fees. They lose because of the behavior. Buffett and Munger have warned for years that many modern training apps look more like casinos and investing platforms. And our data confirmed it. The industry's promise of democratizing investing through frictionless access, mission-free trading, hasn't improved outcomes. It has accelerate the problem. And with the rise of sports gambling and now prediction markets appearing alongside stocks, crypto and options trading, those same dopamine-driven mechanics are spreading faster than ever. The lines between investing, trading and betting are blurring and outcomes are getting worse. For Mogo, that's the opportunity. We have both the data and the capability to build the system that corrects this, a platform that rewards discipline, not dopamine. By unifying our managed and self-directed experience into intelligent investing, we are building what we believe will be the next dominant model in wealth: a platform where investors’ success drives business success. Our solution is intelligent investing, a behavioral operating system for wealth. It solves the biggest gap in modern investing. The lack of structure, feedback and discipline that keeps most investors from capturing the full power of compounding. The Investor with the right behavior, steady contributions, patience and conviction follows a calm upward compounding path that leads to generational wealth. Most platforms push the opposite, short-term speculation and reaction that erodes returns. Intelligent investing makes disciplined inevitable by combining automation, behavioral design and market intelligence. The structure alone isn't enough. A key part of our strategy is to make this experience exciting and aspirational, to compete head-to-head with dopamine-fueled casinos. For our product and our brand, we are redefining what excitement investing means. We are making discipline the new adrenaline, patience the new dopamine, and mastery the new status. Our members will be active, but actively learning, developing, and patient, fully engaged, not by speculation but by progress. Because the real thrill is watching discipline compound into wealth. That's what intelligent investing is built to deliver: the system that turns long-term thinking into long-term results. Today, we have members on our platform who are on track to over $50 million and $100 million. That'’s what we mean by generational wealth, what's possible with the right approach. I wanted to walk through a few of the unique behavioral features that differentiate intelligent investing from other platforms. We've made hundreds of improvements across the experience, all designed to help investors perform better. I'll highlight just a few that best capture our behavioral design and discipline that define the platform. Let'’s start with our flagship S&P 500 portfolios. These portfolios serve as a behavioral anchor, combining the proven performance of the S&P 500 with structure, automation, and consistency that drives better behavior. The edge isn't just being in the S&P 500, it is being in a managed disciplined way. When we compare...
Gregory Feller: You know what? It sounds like Dave got disconnected. So why don't I continue on? I'm going to turn to Slide 10, which is a discussion on Carta. So Dave was really just giving an update on our new wealth intelligent investing platform and giving you some of the exciting features that are coming up on that. I can tell you, everybody on the team is super excited about what we're seeing there. And I think the phrase that Dave coined of platforms being dopamine-fueled casinos are more real than ever, especially with the rise of prediction markets. So we really think the market is -- this is something that the market needs. Now I just want to turn to Carta, which is our second pillar, payments, Carta Worldwide. Carta continues to be an important strategic component of our platform, business built on long-term contracts, recurring transaction volume and trust relationships with top tier enterprise clients. In Q3, processing volume grew 12% year-over-year on a like-for-like basis at $2.8 billion, reflecting steady international demand and continued growth from our major customers. Today, the platform supports over 7 million end users and processes more than $12 billion in annualized volume, providing card issuing, transaction processing and settlement across multiple networks, including Visa and Mastercard. What differentiates Carta is its API-first architecture built on the Oracle Cloud. Looking ahead, we're exploring the integration of stablecoin payments within Carta's network that includes potential partnerships with leading stablecoin providers aimed at enabling faster, lower-cost, cross-border settlement and programmable payouts. This is about future proofing our infrastructure to support clients who want to move value seamlessly across both fiat and digital rails. And we think Carta is well positioned to become a trusted gateway of stablecoin payments as adoption accelerates. Turning to Bitcoin strategy, which represents the next evolution of our capital allocation, in July, our board approved a strategic initiative authorizing up to $50 million in Bitcoin allocation. During Q3, we increased our Bitcoin holdings by over 300%, from Q2 reaching $4.7 million, funded through excess cash from investment monetizations. Our wealth, payments, and Bitcoin initiatives together position Mogo at the crossroads of 2 very powerful trends: the digitization of value and the modernization of financial infrastructure. We believe this dual compounding focus of operating business and Bitcoin will be a long-term differentiator for Mogo. Now, I’ll turn to our Q3 results. Q3 was another solid quarter of execution across our 3 main growth pillars of wealth, payments, and Bitcoin. Each advanced meaningfully: wealth achieved record assets under management, payments delivered double-digit growth, and Bitcoin treasury strategy accelerated. Our ecosystem continues to scale across both consumer and enterprise channels. Total members in Canada reached 2.3 million, up 6%. Assets under management hit a record $498 million, up 22%. On the B2B side, payments volume grew 12% year-over-year to $2.8 billion on a like-for-like basis. Adjusted total revenue grew 2% year-over-year to $17 million, but the composition of that growth continues to shift towards higher quality recurring streams. Wealth revenue rose 27%, driven by deeper adoption of managed portfolios and a higher AUM. Payments revenue increased 11%, reflecting steady transaction growth and long-term customer retention. These 2 components helped drive overall growth and adjusted subscription services revenue of 7%, underscoring the strength and durability of our mostly recurring revenue-based model. As expected, interest revenue was down 5% in the quarter following the new rate cap implemented at the start of the year. However, interest revenue was up slightly on a sequential basis, demonstrating underlying portfolio growth. Profitability remained central to our execution. In Q3, adjusted EBITDA was $2 million, representing an 11.6% margin, up sequentially from Q2 and roughly flat versus last year. Net cash flow before loan book was lower year-over-year due to timing of working capital items, which were a headwind this quarter versus the same period last year. On a consolidated basis, total cash increased in the quarter by almost $7 million, reflecting the impact of portfolio monetizations. Year-to-date, total EBITDA is $5 million, and total cash flow before investment and loan investments reached $13.6 million, up from $10.4 million for the first 9 months in 2024. Bottom line is, we maintain cost control even as we continue investing in platform monetization and intelligent investing rollout. Our balance sheet remains a clear differentiator for Mogo. We ended the quarter with $46.1 million in total cash and investments, including $18 million in cash and restricted cash, $20.8 million in marketable securities, and $7.1 million in private investments. Book value stood at approximately $77.5 million, or CAD 3.24 per share, providing a strong capital foundation to execute our Bitcoin allocation strategy while maintaining liquidity and flexibility. We continue to optimize our capital structure with a focus on return on invested capital and balance sheet optionality. Turning to our outlook, we reaffirmed our 2025 revenue guidance and are raising our adjusted EBITDA outlook from $5 million to $6 million to $6 million to $7 million for the full year. This improvement reflects the operating leverage in our model and continued execution across both wealth and payment pillars. As we move into Q4 and 2026, our priorities remain clear: grow our recurring revenue base, maintain profitability discipline and allocate capital with a long-term mindset anchored to Bitcoin and hard asset value creation. Mogo is entering 2026 with a focused strategy, a stronger balance sheet and a platform designed for intelligent sustainable growth. With that, we will open it up to questions.
Craig Armitage: Dave, do you want to go back -- it's Craig here. Do you want to go back and do Slides 8 and 9 that...
David Feller: Sure. Sorry about that. Apologies. Yes, I got cut off there. So I wanted to walk through just a few of the unique features in our new intelligent investing. One of them is our new performance dashboard, which we see as a professional grade view for active investors. Every member will now be able to see how they're performing against the S&P 500. So they always know how they stack up to a buy-and-hold strategy. Also breaks down what's driving the results. Winners and losers by count and weight portfolio turnover, volatility and drawdown and shows how their performance ranks also versus other members. It also introduces a new behavioral score that connects processed outcomes, tracking things like consistency in the buy-gate process and patience in holding positions. This level of transparency is something that most platforms would never offer because it reduces training activity. But for us, it's a strategic advantage. It encourages patience, selectivity and long-term focus, the traits that drive performance and retention. It's what professionals track and now every investor can see it. Next up, we have what we call the buy-gate investment memo, a professional-grade system for making better, more informed decisions. Before every purchase, members go through a structured process, the same checklist that best investors use for allocating capital: management assessment, moat and competitive advantage, investment thesis and key drivers, kill criteria, and bias check. Once complete, the platform creates an investment memo, a living record of their reasoning that can be revisited and refined over time. Even speculative buys are part of this framework, but now they’'re tracked and analyzed separately so investors can see what’'s working and what isn't. This is a system for turning decisions into data, bringing the same rigor and feedback loops used by professionals to every investor. And these are just a few of the hundred improvements we’'ve made across the platform, each designed to make discipline inevitable and performance sustainable. We will begin the rollout of intelligent investing later this month and continue into Q1. We couldn't be more excited for our members and our new platform, and I personally am excited and proud of the great work the team has done, as they truly believe we've built a truly differentiated platform and one that really aligns with our view that the future of investing won't be won by those that deliver and drive the most activity, but ultimately, the platforms that actually deliver the best outcomes. So back to -- we'll go down to the -- back to the Q&A, Craig?
Operator: [Operator Instructions] Your first question comes from the line of Scott Buck from H.C. Wainwright.
Scott Buck: I guess, first, I wonder if you could kind of walk us through how you see the balance between growth and margins as you work from kind of where you are today at 18 or so percent to that Rule of 40.
Gregory Feller: So yes, Scott, it's Greg. I think the -- our overall philosophy right now is to stay EBITDA positive, while looking to drive overall top line growth, right, I think -- and so as we roll out intelligent investing later this quarter and going into Q1, I think we are going to be in a position to have to make some more investments for that rollout. But obviously, the philosophy there is that we expect offsetting growth on any impact on EBITDA margin. But we think that's the right bias for it to drive accelerating growth, again, keeping that overall Rule of 40 framework where our goal there is to see that Rule of 40 number overall increase, again, Rule of 40 being revenue growth and adjusted EBITDA margin.
Scott Buck: Great. That's helpful, Greg. And then on the rollout of intelligent investing, could you provide a little bit around the logistics of how you'll be rolling it out? And then you mentioned some likely increased spend. I assume that comes through the marketing line, but any additional color there would be helpful as well.
David Feller: Sure. It's Dave. So we're starting first with rolling out our managed solution. So again, we're moving from essentially 2 platforms. We had Mogo, which was our managed solution, and we had MogoTrade, which is our self-directed. Both of those, obviously, are still the current platforms that our users, members are on. So phase one is going to be actually rolling out the managed first. So Mogo users and everybody with a managed account will essentially transition into this new app. So they'll literally go from one day updating from the old app to the new app, which is the new intelligent investing, starting with the managed, roll that out across our member base, and then introduce and roll out the new self-directed. Everybody with an existing Mogo account will essentially log in to their existing account, but it will obviously all be on the new platform, new interface, etc. And the same thing on the self-directed. Everybody on the self-directed platform will log in, and their account and everything will be on this new platform. And now it will be unified into one app so we expect that this process will start this month, and it will continue into Q1. Assuming everything is going well and we are -- —obviously, there is always feedback and adjustments, and that process will continue. But we would hope by Q1, at some point in Q1, we are beginning to start progressing on the marketing front and really starting to try to get back to accelerated growth there.
Scott Buck: Great. David. That's helpful. And I want to ask about the -- how the lending business kind of fits in with the core wealth and payments at this point? Are you sourcing customers for wealth through lending? Or what -- I guess I'm trying to understand what the strategic fit is?
David Feller: Greg, do you want to talk about that or I can talk a little bit about that.
Gregory Feller: Yes, go ahead.
David Feller: I mean, I'll start and Greg can add. I mean, ultimately, I think what you're seeing with a lot of these platforms, right? You take a look at Robinhood, Wealthsimple, et cetera. Everybody usually starts with a product and then continues to evolve and start adding others, right? Wealthsimple initially launched a robo-adviser, then they got into self-directed investing. Now they're doing credit cards. Everybody eventually is getting into lending as well. So in the long run, you see lending as obviously, as I think, a key part of a lot of these platforms. And our big advantage is that we've been in the lending business from the beginning. So obviously, a lot of experience and a lot of data on the unsecured part. Some of those -- there's no question that a lot of those members, I mean, ultimately, every single individual needs to get invested, right? So we -- our goal with on the lending side is to help people go from being in debt and actually getting on a path to saving and investing, especially those that are boring typically in kind of the subprime rate. But yes, I think long-term lending, I expect, is going to be a key component of all of these platforms. And -- but for now, for us, obviously, our main focus in terms of growth drivers of the business is going to continue to be really on the payments and on the Wealth side, right? But Greg, I don't know if you want to add little more color in there.
Gregory Feller: Yes. I would just say that our goal for lending, look, lending we've been doing for 20 years, it's been a stable cash flow generator for us. It's been one that as I've always said, because it's not our core growth focus, we can turn those dials up and down depending on our general view and outlook on the overall environment. So our book has stayed relatively stable for a few years. So we really haven't been meaningfully growing our book. Our goal is that lending is -- right now, lending is a drag on overall revenue growth because of the rate cap impact in '25. Our goal is that revenue is not a drag on revenue growth as we moved into 2026. But that, by far, the primary driver of top line growth is coming from wealth and payments. So that's sort of how we look at it. So by definition, lending, we believe, will become a smaller and smaller percent of our overall business. But continue to be a contributor of cash flow to the overall business as well. And as Dave said, strategically, there probably isn't a fintech platform out there because if -- that doesn't have it because it really at the end of the day, as you broaden out and offer more and more services and you look at what Robinhood is doing, they effectively want to become your primary bank, right, and offer all of your financial products and you cannot do that if you don't actually do lending. So lending is a strategic asset for sure in the space. What I would argue the hardest one to get into because it actually requires years and years of data and experience to be able to do that profitably. And I would say Mogo has one of the strongest databases in the sub-private space in Canada having been doing this for 20 years.
Scott Buck: Great. That's fair. And I appreciate the added color there. One last one. Just curious if you guys have an update on where you stand on the regulatory process in terms of being able to offer crypto trading with the new wealth platform that's rolling out?
Gregory Feller: Yes. So we are progressing on the whole crypto path and including partnership discussions because basically everybody that really expands into this area builds partnerships because there's a pretty broad ecosystem there. So I would say, stay tuned as we go into 2026 for announcements around progress around bringing crypto into our platform.
Operator: [Operator Instructions] There are no further questions at this time. I'd like to turn the call back over to Dave Feller for closing comments. Sir, please go ahead.
David Feller: Thank you. Thanks again for joining us on our Q3 call. We look forward to giving you an update in the next -- in Q1 on full year results. Thanks again.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you very much for your participation. You may now disconnect.